Operator: Ladies and gentlemen, thank you for standing by, and welcome to our Second Quarter 2021 Financial Results Conference Call.  As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Ms. . Thank you. Please go ahead.
Unidentified Company Representative: Thank you. Good morning, and welcome to Logan Ridge Finance Corporation's Second Quarter 2021 Earnings Conference Call. An earnings press release was distributed this morning, August 16, before market open. A copy of the press release, along with an earnings presentation, is available on the company's website at www.loganridgefinance.com in the Investor Relations section and should be reviewed in conjunction with the company's Form 10-Q filed today with the SEC. As a reminder, this conference call is being recorded for replay purposes. Please note that today's conference call may contain forward-looking statements, which are not guarantees of future performance or results and involve a number of risks and uncertainties. Actual results may differ materially from those in the forward-looking statements as a result of a number of factors, including those detailed in the company's filings with the SEC. Logan Ridge Finance Corporation assumes no obligation to update any such forward-looking statements unless required by law. With that, I would now like to turn the call over to Ted Goldthorpe, Chief Executive Officer of Logan Ridge Finance Corporation. Please go ahead, Ted.
Ted Goldthorpe: Good morning, and thank you for joining us on our earnings call. I'm joined today by our Chief Financial Officer, Jason Roos; and our Chief Investment Officer, Patrick Schafer. As you know, on July 1, we announced the closing of the transition to a new investment adviser for Logan Ridge Finance Corporation. Logan Ridge's new adviser is Mount Logan Management LLC, an affiliate of BC Partners Advisor LP for U.S. regulatory purposes and part of the BC Partners credit platform as a wholly owned subsidiary of Mount Logan Capital Inc., a Canadian public company. BC Partners Credit is a leading provider of capital to middle-market companies, and as part of the broader BC Partners organization, a leading global alternative asset manager with more than $40 billion in assets under management and over 30 years of operating history in the U.S. and Europe. We're very excited about the adviser transition at Logan Ridge. And as previously discussed, we have 2 immediate objectives as the new adviser. First, we are focused on actively rotating and replacing nonincome-producing investments with debt investments in the form of high-quality, senior secured positions originated by BC Partners. Secondly, we'll look to improve and optimize the company's capital structure by reducing leverage and reducing the cost of debt, while providing additional flexibility. In just 6 weeks since closing this transaction or transition, we have made significant headway on both of these objectives. Patrick will provide more commentary in his remarks, but we are pleased to report that subsequent to quarter end, the company has exited 5 portfolio companies, including 3 equity investments, valued at $58.7 million as of June 30, 2021. We also have 2 additional portfolio companies that are in various stages of sales processes. Secondly, at the end of the second quarter, the company repaid in full the $71 million in SBA debentures outstanding and surrendered its corresponding SBIC license. Additionally, the KeyBank credit facility was repaid subsequent to quarter end. Our priority in the coming months as it relates to the right side of the balance sheet will be to address the near-term maturities with the objective of reducing cost of debt and increasing funding flexibility. Ultimately, our goal is to execute on these initiatives such that we are in a position to reinstate a sustainable dividend as soon as possible. Over the longer term, we believe there's an opportunity to reduce our administrative and operational expenses by leveraging the scale of BC Partners credit platform and potential synergies across our total AUM base. Additionally, we plan to grow the platform, including through pursuing inorganic opportunities to further drive scale to the benefit of shareholders, including reducing the stock trading discount to NAV. We have a solid track record of executing strategic transactions in the public BDC sector, and we plan to leverage our expertise and abilities as opportunities arise in order to execute on our growth initiatives for Logan Ridge. With that, I will turn the call over to Patrick Schafer, our Chief Investment Officer.
Patrick Schafer: Thanks, Ted. I will briefly summarize investment activities for the quarter, then provide some more detail on activities subsequent to quarter end. During the second quarter, the company made approximately $10 million of investments and had approximately $33.5 million in repayments and sales, resulting in net repayments and sales of approximately $23.5 million for the period. As of June 30, 2021, the company's portfolio  investments in 32 portfolio companies, with a fair value of approximately $228 million. The debt investment portfolio, which represents 67.7% of the fair value of our total portfolio, had a yield of approximately 9.9%. At quarter end, we had debt investments in 3 portfolio companies on nonaccrual status, with an aggregate amortized cost of $21.3 million and an aggregate fair value of $9.8 million, which represented 9.8% and 4.3% of the investment portfolio, respectively. During the quarter, the company recognized $6.9 million of realized gains on investments, driven by the successful exits of our investments in City Gear, LLC, CIS Secure Computing, Inc. and Xirgo Technologies, LLC. The company also recognized $13.7 million of unrealized depreciation, driven in large part by  companies that have been impacted by COVID-related challenges. I'll now provide a little more detail on our activities subsequent to quarter end. To date, we have successfully exited Logan Ridge's investments, Rapid Fire Protection, Inc., 3 Bridge Solutions LLC, AmeriMark Direct LLC, Sitel Inc. and Corporate Visions, Inc, generating proceeds of $59.7 million, of which approximately $11.2 million was from our equity interest in these portfolio companies. These positions were marked at $58.7 million as of June 30, 2021, and our equity interest were valued at $10.2 million. Based on the March as of June 30, 2021, we successfully exited 14% of the company's equity portfolio. Additionally, we have equity interest in 2 additional portfolio companies that are currently in various stages of sale processes that we're cautiously optimistic will close by year-end. As we discussed at length, our objective is to continue to rotate out of these legacy positions and redeploy these proceeds into high-quality senior secured interest earning debt investments originated by BC Partners. We believe these early successes are promising and demonstrate our ability to execute on our strategic plan for repositioning this portfolio such that it earns a sustainable cash income stream sufficient to support, a consistent recurring dividend for Logan Ridge shareholders. I'll now turn the call over to Jason.
Jason Roos: Thanks, Patrick. I will now quickly review the quarter and its key drivers. Total investment income was $5 million for the second quarter of 2021 compared to $4.9 million for the first quarter of 2021. Interest income declined by $500,000 quarter-to-quarter, offset primarily by $600,000 in nonrecurring dividend received. Total expenses for the second quarter of 2021 were $5 million compared to $5.7 million for the first quarter of 2021. Interest and financing expenses declined by $300,000, base management fees declined by $100,000 and other general and administrative expenses declined by $264,000. Interest expense decreased compared to the prior quarter primarily due to full repayment of the SBA debentures in June. Accordingly, net investment income for the quarter was $34,000 or $0.01 per share compared to a loss of $800,000 or $0.29 per share in the quarter ended March 31, 2021. We recognized $6.9 million in net realized gains, $13.7 million net change in unrealized losses and $800,000 extinguishment loss on the SBA debentures. The net decrease in assets resulting from operations was $7.6 million or $2.79 per share for the second quarter of 2021 compared to a net increase of $12.4 million or $4.56 per share for the first quarter of 2021. Net assets at June 30, 2021, were $113.7 million or $41.96 per share compared to $121.3 million or $44.74 per share at March 31, 2021. The decrease in NAV per share was primarily due to the net change in unrealized losses during the quarter. At June 30, 2021, we had $26.1 million in cash and cash equivalents. On the liability side of the balance sheet, we fully repaid $71 million  SBA debentures during the second quarter. At quarter end, we had approximately $150 million of debt outstanding comprised of $25 million drawn on the senior secured credit facility with KeyBank, $72.8 million of fixed rate notes bearing an interest rate of 6% and $52.1 million of convertible notes bearing an interest rate of 5.75%. The company's total debt-to-equity ratio was 1.3x at quarter end compared to 1.6x at March 31 and 2x at the prior year-end. Subsequent to quarter end, we have fully repaid the $25 million outstanding on the senior secured KeyBank facility. As Ted mentioned, we are actively focused on continuing to optimize our debt capital structure. With that, I will turn the call back over to Ted Goldthorpe.
Ted Goldthorpe: Thanks, Jason. In summary, we are very pleased with the progress we've made already since undertaking management of the company on July 1. we've focused on risk reduction by materially rotating the composition of the investment portfolio from nonincome-generating equity investments and redeploying those proceeds into income producing high-quality debt investments and also rapidly deleveraging with a longer-term objective of further optimizing our current liability structure. Our goal is to reinstate the dividend at a sustainable rate as soon as practically possible. Over time, our goal is to streamline operating expenses by leveraging the breadth and depth of the broader BC Partners credit platform and increased scale through strategic transactions. We look forward to providing more updates in the coming quarters as we continue to make progress. Thank you all for your support. This concludes our prepared remarks, and I will now turn over the call to the operator for any questions.
Operator:  Your first question comes from Christopher Nolan from Ladenburg Thalmann.
Christopher Nolan: Congratulations on all the progress you've made such a short time. Is it fair to say that the -- given the exits of $58 million in the quarter to date, we should see the cash balance start to substantially rise to the balance sheet? And if so, is the plan to start paying down the remaining debt early?
Patrick Schafer: Christopher, this is Patrick. Thanks for the question. So some of that balance went towards repaying the KeyBank facility, which we noted in our prepared remarks. And then we didn't highlight it specifically, but we have been actively reinvesting those proceeds in BC originated transactions. So when we get to kind of our quarter end, you'll see new investments on the books that are kind of BC-driven -- BC-related investments. So there's a combination of those 2 things going on.
Christopher Nolan: Great. And then a follow-up, should we expect realized gains in the third quarter from these exits?
Patrick Schafer: So far from these exits, yes. I think we mentioned the numbers, there's a slight increase in terms of proceeds we received relative to the balance as of June 30. So as it relates to these specific 5 investments, yes, and obviously TBD on future realizations, but so far, yes.
Operator:  I would now like to turn the call back to management for closing comments.
Ted Goldthorpe: Thank you, everyone, for joining us today, and we look forward to speaking to you next quarter. And as always, with us, please reach out to any member of management at any time with any questions. Thank you very much.
Operator: Ladies and gentlemen, this concludes today's conference. Thank you for your participation, and have a wonderful day. You may all disconnect.